Operator: Good day, and thank you for standing by. Welcome to Silk Road Medical's 2024 First Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. 
 I would now like to hand the conference over to Marissa Bych with Gilmartin Group. Please go ahead. 
Marissa Bych: Great. Thank you for joining today's call. Earlier today, Silk Road Medical released financial results for the 3 months ended March 31, 2024. A copy of the press release is available on the company's website.
 Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning of the federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995.
  Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. 
 All forward-looking statements, including, without limitation, those relating to our operating trends and future financial performance, expense management, expectations for hiring and growth in our organization and our business physician training and adoption, market opportunity and penetration, commercial and international expansion, regulatory approvals, reimbursement, competition and product development are based upon our current estimates and various assumptions. 
 These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. 
 For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factors section of our latest report on Form 10-K filed with the Securities and Exchange Commission. 
 Additionally, Silk Road Medical refers to adjusted EBITDA, a non-GAAP financial measure. A reconciliation of adjusted EBITDA to net loss, which is the most directly comparable GAAP measure is included in our press release, which is available on our website. 
 This conference call contains time-sensitive information and is accurate only as of the live broadcast today, April 30, 2024. Silk Road Medical disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. 
 With that, I will turn the call over to Charles McKhann, Chief Executive Officer. 
Charles McKhann: Thank you, Marissa, and thank you all for joining us today. I'm excited to share a strong start to 2024 at Silk Road Medical marked by first quarter revenue of $48.5 million reflecting 21% year-over-year growth, supported by more than 6,700 procedures. 
 Our growth was driven by deepening TCAR adoption among trained physicians as well as encouraging early uptake from our tapered stent launch. We continue to see healthy demand and encouraging adoption trends for TCAR as the tenure and experience of our commercial team grows, our innovation efforts bear fruit and the marketplace responds to expanded Medicare coverage. 
 We look forward through 2024 and beyond with great optimism about our ability to continue growing into the market opportunity in front of us. While it's only been 2 months since our last update, our efforts to deepen adoption and strengthen the position as the leader in carotid treatment are yielding progress. Our sales representatives and therapy development specialists in combination with our medical affairs team and reimbursement specialists remain hard at work, strengthening relationships and continuing to educate the more than 2,800 TCAR trained physicians as well as our staff and referring networks. 
 We are having important conversations with our customers to understand their individual practices and the most important factors in driving toward a TCAR-first approach to carotid disease treatment. Our customers consistently speak to the dedication of our commercial team and the quality of their support, all of which contribute to positive provider experiences and outstanding patient outcomes. 
 We are also seeing the benefits of a rising tide of awareness across physicians adopting TCAR, their referring physicians and patients themselves. We've spoken extensively about the pull behind TCAR: best-in-class clinical outcomes, a short learning curve, broadly applicable patient pools and clear economic advantages. Today, we're also observing a strengthening push dynamic, reflecting another side of the same phenomenon. 
 The physician community is understandably deliberate in their transition to any new therapy in such a sensitive disease state. Increasingly referring physicians and patients are more likely to recommend or seek out providers who offer the most patient-friendly solutions, and we are pleased to see an increasing push and pull effect supporting continued adoption in the field. 
 Clinical evidence remains a critical driver of those push and pull dynamics. And in that vein, I'd like to highlight a recent editorial published in the annals of vascular surgery by Dr. Jeffrey Jim, an accomplish vascular surgeon and share of vascular and endovascular surgery at Allina Health. The title of the editorial is "Should TCAR be accepted as the standard of care in carotid revascularization?" Dr. Jim offers an insightful overview of carotid treatment history and ending in his conclusion with, and I'll quote him, "I do believe that TCAR should be accepted as the standard of care in carotid revascularization. I am simply doing what I always do in my overall vascular practice: review all of the available data, pick the best treatment among all available options and monitor my outcomes."
 The deliberate choice to use the language, 'standard of care' when referring to TCAR by an experienced and respected surgeon and a high-impact factor journal is powerful in and of itself. The article also represents a great example of how expanded awareness for effective carotid treatment and a comprehensive review of the data can lead physicians and their patients to a TCAR first approach. Earlier, I mentioned the marketplace response to expanded Medicare coverage. And on this topic, I'm pleased to share that we are seeing renewed awareness for carotid treatment from last year's national coverage determination, which is catalyzing healthy conversations around the benefit of safe, patient-friendly intervention in carotid artery disease. 
 The bottom line of this decision was access; namely access for more patients to be treated with the intent of stroke prevention. And the decision to include an emphasis on empowering the patient to make a treatment decision in their best interest. Towards that end, as TCAR expands and awareness expands with it, we are increasingly focusing our marketing efforts on patient education and awareness for the benefit of TCAR among referring physicians.
 The findings of our market research team highlight the benefits to TCAR for Medicare's decision. In a very recent double-blind survey with data collected by a third-party provider, 75 high-volume vascular surgeons were asked to describe the impact of the national coverage determination on their carotid treatment referral volumes since the decision was enacted in October last year. 
 On average, these very busy vascular surgeons have seen a net increase in their carotid referral volumes as a result of the expanded MCD. Beyond our marketing efforts, we are supporting this rising tide awareness through continued clinical evidence creation. This year, we will exceed 100,000 cumulative patients treated with TCAR, an incredible accomplishment for an entirely new endovascular therapy category that was driven by the efforts of a single company. 
 Importantly, this 100,000 patient milestone creates a unique opportunity to communicate the fact that TCAR is in fact, no longer new. TCAR has arrived, and it deserves its place as the standard of care treatment in carotid artery disease. Importantly, in 3 recent publications, TCAR demonstrated best-in-class outcomes compared to both carotid endarterectomy and transfemoral stenting. 
 The first one we previously highlighted, and it's a 2022 publication in the Journal of Vascular Surgery by Hicks, et al., that looked at 125,000 patients in the vascular quality initiative stratified by CMS surgical risk criteria. After adjusting for baseline demographics and clinical characteristics, the odds of perioperative stroke were lower for TCAR versus CEA in high-risk patients and similar in standard risk patients. 
 Secondly, a recent analysis by [ Ramsay ] Et al. of perioperative outcomes for TCAR, CEA and CAS from a review of roughly 370,000 procedures captured in the national inpatient database demonstrated best-in-class outcomes across stroke, death and myocardial infarction for TCAR. The authors concluded with a clear takeaway that TCAR is underutilized relative to other revascularization techniques despite having favorable outcomes compared to CEA and CAS. 
 And then thirdly, in October of 2023, there's a review in the Journal of Vascular Surgery of roughly 1,700 carotid revascularization procedures across 7 hospitals in the Memorial Hermann Health System, which yielded perioperative stroke rates that were lower than CEA. And so collectively, these 3 publications demonstrate a perioperative stroke rate from TCAR that is below the historical gold standard CA. And they are just beginning to be appreciated by both the referring and treating community.
 Furthermore, we anticipate that the robust body of clinical evidence in favor of TCAR will continue to grow. We are advancing ROADSTER 3, our post-approval study, investigating TCAR patients at standard risk of adverse events for CEA. ROADSTER 3 will enroll up to 400 patients with the primary outcome being major adverse events within 30 days post treatment as well as ipsilateral stroke within 31 and 365 days post procedure. The study is progressing well. We remain on track for enrollment completion in the back half of 2024. In following enrollment completion, we look forward to the investigator sharing 30-day outcomes data, followed by the 1-year outcomes data down the road. 
 Now I'd like to shift gears to discuss how we are expanding our competitive moat in carotid disease treatment through our product innovation. Last year, we launched a dedicated TCAR balloon the ENFLATE balloon, which continues to track well to utilization expectations while maintaining a premium pricing strategy in the marketplace. More recently, we launched the tapered version of our ENROUTE transcarotid stent to offer additional options to fit individual patient anatomy. 
 We initiated the full market release of our tapered stents ahead of plan in early March, and we are encouraged by the initial interest and uptake from customers. Lucas will offer more details on the uptake in his remarks. The ENROUTE stent is the only carotid stent on the market that is available both in standard and high surgical risk indications as well as both tapered and cylindrical configurations. 
 And finally, in early April, we announced the release of our next-generation ENROUTE transcarotid neuroprotection system or NPS PLUS. This fourth generation device builds upon the prior ENROUTE transcarotid nerve protection system to deliver smoother arterial sheet insertion, greater flow protection and a simplified prep experience for endovascular teams, all while maintaining exquisite flow reversal neuro protection during the TCAR procedure. 
 In initial cases with the NPS PLUS, customers have noted the improved ease of use and faster case prep. These features help further improve confidence in achieving an excellent outcome in patients undergoing TCAR and support continued progress along the adoption curve. And all 3 product launches are a direct result of carefully listening to feedback from our customers and delivering next-generation solutions to enhance the TCAR experience. 
 Beyond our efforts to bolster our core product offerings, we are investing in additional long-term drivers of growth for the business, including international expansion. Our initial efforts have been focused on China and Japan, where we've received regulatory approvals for ENROUTE stents and ENROUTE NPS and recently signed distribution agreements with respected regional market leaders with local expertise and capabilities. 
 Regulatory efforts to support clearance of the ENROUTE NPS PLUS are underway in both markets, as our market access, launch prep and post-market study activities with our distributor partners and their provider and payer stakeholders. We will continue these efforts through 2024 and look forward to sharing more over the course of this year. 
 Before I turn the call over to Lucas, I'd like to touch briefly on our efforts to deliver a strong, sustainable financial profile. We are pleased with our strong first quarter and the long-term growth trajectory we see for the business. We are also pleased to be driving operating leverage after years of significant investment. This progress was reflected in our first quarter adjusted EBITDA loss of $3.9 million, which is a significant improvement year-over-year as well as a modest sequential improvement. 
 We remain confident in our ability to drive full year 2024 adjusted EBITDA improvement relative to 2023 and also in our ability to reach profitability with the capital we have on hand. 
 And with that, I'll now turn the call over to Lucas Buchanan, our CFO and COO, to review financial results for the quarter. 
Lucas Buchanan: Thank you, Chas. Revenue for the 3 months ended March 31, 2024, was $48.5 million, a 21% increase from $40.1 million in the same period of the prior year. Growth was driven primarily by increased TCAR adoption and continued healthy demand for our expanding portfolio of differentiated products. Our team supported over 6,725 TCAR procedures within the quarter, a 15% increase from the same period of the prior year. 
 As our results demonstrate, Q1 revenue growth moderately outpaced our Q1 procedure growth. This was partially, but not entirely due to a revenue benefit from our tapered stent launch in early March, ahead of our original plan due to great preparation work from our team and notable customer demand. We also saw strong demand for our cylindrical stents within the quarter. Together, these stent orders partially reflected a stocking dynamic as hospitals establish new par levels across size variations. 
 As we have said in the past, we expect some variation between revenue growth and procedure growth from time to time. And looking forward, we continue to expect that revenue growth will sometimes outpace procedure growth and vice versa. That said, we view our Q1 procedure growth as the most reflective metric of current end market demand trends for TCAR, and we are pleased that those demand trends remain healthy today. 
 Gross margin for the first quarter of 2024 was 75% compared to 69% in the first quarter of the prior year. The increase in gross margin reflects unfavorable production variances we encountered in the prior year period, as well as the benefit to first quarter 2024 from favorable purchase price variances that we experienced in Q4 and expected in Q1, as called out in the prior earnings call. 
 Also, as mentioned prior, we expect gross margin to decline modestly in Q2 and begin to normalize thereafter. Accordingly, we continue to expect a modest improvement in full year 2024 gross margin over 2023. Total operating expenses for the first quarter of 2024 were $51.4 million, a 16% increase from $44.5 million in the first quarter of 2023. R&D expenses for the first quarter of 2024 were $10.7 million compared to $10.4 million in the first quarter of 2023. 
 Sales, general and administrative expenses for the first quarter of 2024 were $40.8 million compared to $34.1 million in the first quarter of 2023. The increase was primarily driven by increased headcount and related expense in our commercial organization. As we leverage our stable commercial base and our at-scale R&D and back-office infrastructure, we continue to expect our forward revenue growth rate to outpace growth in operating expenses on a full year basis. And in dollar terms, we expect steady quarterly operating expenses through the remainder of 2024 as compared to Q1. 
 Net loss for the first quarter was $14.1 million or a loss of $0.36 per share as compared to a net loss of $16.5 million or a loss of $0.43 per share for the same period of the prior year. 
 As a reminder, we introduced adjusted EBITDA into our reporting framework on our last call to further illuminate our operating profile and path to sustained operating profitability. Adjusted EBITDA for the first quarter of 2024 was a loss of $3.9 million compared to an adjusted EBITDA loss of $7.4 million in the prior year period. 
 Today, we are pleased to maintain our expectation to recognize adjusted EBITDA improvement in the full year 2024 relative to 2023 when we recorded an adjusted EBITDA loss of $17.7 million. 
 Finally, we ended the first quarter of 2024 with $176.5 million in cash, cash equivalents and investments. We remain confident in our ability to achieve profitability with our existing capital.
 Turning to our 2024 revenue outlook. Our teams are focused on driving TCAR adoption while continuing to execute on our balloon, tapered stent and NPS plus launches. As previously communicated on our fourth quarter 2023 earnings call, we project full year 2024 revenue of $194 million to $198 million, reflecting 10% to 12% growth. We plan to revisit our 2024 guidance on the Q2 earnings call. 
 Ending with our commercial strategy. Our go-deep focus remains our priority. We are actively dedicated to increasing usage among our current pool of over 2,800 trained physicians served by our 85 sales territories and over 200 professionals in the field, and we eagerly anticipate broadening our influence on patients as we implement our 2024 commercial strategy as the only at-scale full capability carotid company. 
 At this point, I would like to turn the call back to Chas for closing comments. 
Charles McKhann: Thanks, Lucas. So in conclusion, I just want to express my heartfelt appreciation to everyone who's been involved in the journey here at Silk Road. Tomorrow marks the beginning of stroke awareness month, and we are reminded of our core mission -- to reduce the devastating burden of stroke on patients and their families. 
 Together, we've greatly improved the quality of life for thousands and thousands of patients suffering from carotid artery disease. And as a company, all of us at Silk Road Medical are uniquely focused on the treatment of carotid artery disease, and we'll continue to seize the opportunities ahead of us and position ourselves for sustained success in this market. And with that, I'd like to now turn it back over to our operator for Q&A. Carmen? 
Operator: [Operator Instructions] One moment for our first question. And it comes from the line of Robbie Marcus with JPMorgan. 
Rohin Patel: This is actually Rohin on for Robbie. I just had a question on guidance, and congrats on a nice quarter. Just wanted to get a sense for why you didn't choose to raise guidance here. You mentioned there was -- there could have been a bit of stocking dynamic, obviously, from the auxiliary products as well as potentially competitive pressures. I just wanted to kind of get a sense for how much you factor that into the guidance as well as any ongoing contribution from new product launches. 
Charles McKhann: Sure. Yes. Thanks, Rohin. Appreciate the question, and thanks for joining the call. Look, overall, clearly, we've got an exciting opportunity in front of us, and we're focused on building that for the long term. 
 As we report out on Q1, we just really felt it's still pretty early in the year, right? I just completed my first full quarter with the company. Q1 was our first full quarter under the new reimbursement environment post NCD. As we discussed on our prior call, a significant portion of our sales organization are still relatively new to Silk Road and in their roles. And it's only been 2 months since we initiated guidance for the year. 
 So I would summarize what you said with it. We're pleased with how we started the year, and we made good progress. We did see solid growth in cases and that was higher-than-expected revenue per procedure. And a lot of that, as Lucas said, really was driven by the tapered stent launch. And so a little bit was pulling some in putting some forward. But the customer reaction has been very positive, and we look forward to continuing progress with that and just really want to get a little more runway under our belts. And then when we get to the summer, we'll provide a full update on guidance at that point. 
Operator: One moment for our next question, please. It comes from the line of Rick Wise with Stifel. 
Frederick Wise: I wanted to talk about the price performance. I mean, clearly, 5% price not quite what it was in the fourth quarter, but still very solid. How do we think about the sustainability of that kind of pricing dynamic throughout the year? And I assume that's what's baked into guidance. And maybe that's more for Lucas. 
 And Chas, maybe you could sort of add to that with some perspective on, so where are we with the tapered stent in the ENROUTE launch and sort of what's incorporated into your thinking and your guidance for the year from those 2 points? 
Lucas Buchanan: Rick, I'll take the first part of that question. So let's just quickly delineate between kind of we think about price performance at the product level. ASPs continue to be strong. Our commercial organization continues to do a great job with existing products, new product launches and driving really good price at the product level. 
 At the procedure level, we think about units sold overall in the period relative to procedures in the period as we've talked about ad nauseam in the past, there is a timing element. And so revenue in the period divided by procedures in the period or revenue per procedure, to your point, was just over 7,200. Some of that was the normal kind of reorder. We had strong utilization in Q4 so some of those reorders happen in Q1. And additionally, in early March, we started the rollout of the tapered stent. And I don't want to over index on that. It was very modest, but it did provide a lift. 
 Hospitals are essentially now have an expanded size matrix. And so our sales team and hospitals are kind of establishing new par levels and we may continue to see the variation in the timing of putting units on the shelves and when they get used and when they get reordered. 
 So when you're in a product launch phase with an expanded size matrix, that can serve as a temporary lift. But I would expect normalization in future quarters. It's likely to dip back down towards the 7,000 kind of longer-term bogey. 
Charles McKhann: And Rick, I think you asked sort of how that plays out over the year. We just started the launch for tapered in March. And so we got a nice reaction to it. We've got sort of more work to do there as it goes forward. Most importantly, the clinical reaction has been really good. So we're happy with that. And then we're just starting -- truly just starting the launch of our NPS PLUS. 
 And so those really are factored in collectively into our guidance. And as Lucas said, over time, we see things moving more towards kind of that 7,000 level. But there may be a period, as we said, where we're buying a little higher revenue per procedure as people are adjusting their par levels and things. 
Frederick Wise: Got you. And maybe just last and related to that, maybe you all can help us think about the cadence of the quarters. I mean 25% of I think if I remember, if I did this right, the midpoint of your guidance, it -- that sort of implies that the first quarter is like 25% of full year sales or something, sort of unusually high as a percent relative to years' past. Help us think through the cadence and like in the second quarter, how do we think about second quarter relative to obviously an unusually strong first quarter? 
Charles McKhann: Yes. No, we're pleased with the first quarter and in terms of how we performed. I mean, Lucas can tell you from experience that often Q2 and Q4 are both seasonally some of the best quarters. In the past, the company has kind of grown through seasonality in Q3. Last year, there was a little bit of a dip, right? But -- so we're kind of looking at that and learning, especially in the kind of changes in the environment, to understand exactly how it's going to play out, but -- which is in part why I just wanted to give a little bit more runway here this year to sort of do a full year look and then provide an update on the full year look after the Q2 call. 
Operator: One moment for our next question, please. And it comes from the line of Frank Takkinen with Lake Street Capital Markets. 
Frank Takkinen: Congrats on a solid quarter. I wanted to start with one on the NCD change. I think there was likely some theorizing around if it were to provide a tailwind to transfemoral stenting, it would take a 6- to 12-month lag, just given the train up time. So we're kind of getting close to that time frame now, now that you've had in 6 to 12 months since that NCD was put in place. Any change in market dynamics you're seeing anecdotally from a shift to more transfemoral stenters getting trained up? 
Lucas Buchanan: Thanks, Frank. Appreciate the question. Let me start actually with very sort of distinct positives we're seeing, and I'll absolutely answer your question around the transdermal side as well. I mean we've mentioned that there are real positive dynamics from the NCD for us, partly just more awareness around treatment of carotid disease. I mentioned the survey results that we just recently received, we also have been, I think, pleasantly surprised by the number of new account opportunities coming out of accounts that previously didn't want to participate in the VQI registry that was required for reimbursement. 
 And I'll give you an example, actually. Last week, I was traveling on the East Coast and went out and it was kind of more regional satellite hospital, but from one of the large systems on the East Coast. And for years, they wanted to do TCAR, but just the paperwork and getting through it in bureaucracy, right, you see in hospitals. But they got going in the fall, and we've got now an experienced surgeon who had already had an established practice doing CEA and now 2 junior physicians, recent fellow graduates that are all doing TCAR. And I think this week, they're doing their 50th procedure. 
 So that's a very tangible example of sort of opportunities that are right in front of us, and we got to keep capitalizing on them and keep going. We do continue to believe that there will be some changes over time and carotid stenting. 
 Up until this point, I think what we've largely seen as I would characterize as kind of pockets of -- and by the way, of established existing people who have been doing transdermal already. Because as you mentioned, there's -- the training is hard. The learning curve we've talked about before is really long. And we're not seeing nor hearing about kind of a big wave of new training that's happening. It doesn't mean it couldn't over time. again, it's still early, but it's more like I said, we characterize as kind of pockets of influence. And we're really mostly focused still on -- by far, the largest part of the market is still carotid endarterectomy and the opportunity to continue to grow into that with, primarily, the vascular surgeon customer base is still our primary focus. 
Frank Takkinen: Got it. That's good color. Maybe moving over to the sales force a little bit. I know you've touched on it a couple of times throughout the call briefly, but just wanted to get an update on -- I think last call, you -- last quarter, you called out 1/3 of the sales force being younger than a year. Maybe an update around that figure as we're maturing the sales force and just overall -- just an overall update on how that training is going for the younger reps? 
Charles McKhann: Yes. No, I don't have a specific update on the metric except to say that people are progressing well, right? We've got a really good organization and the team is doing really well. We had our sales meeting in Q1 and the energy level is fantastic. The -- we've got -- we hire well. We've got a good partnership across the experienced reps helping the new reps and look, as an organization, especially when you have something like a CEO transition, you always wonder how the organization is going to be doing sort of through that transition. And I'll share some recent data we just collected because we do a survey, it's called Great Places to Work. We just did it just completed it on the average -- an average company, 57% of their people rank it as a great place to work. Our employees ranked us in the mid-90s. And this again, even after the changes. 
 And so -- and more importantly, that then translates from a retention standpoint, both in the field and in-house our employee retention is as good as it's been really ever. And so we're not going to take any of that for granted. We're going to keep working as a leadership team to make sure we have policies in place and the culture in place to maintain that. But I feel really good about where people are. 
 And then from a training and development standpoint, it takes time, right? In the field, you've got to first really develop the clinical acumen and confidence that comes with the role. It's -- we ask a lot of our sales team. But then as they do that, they're also really building the relationships and kind of earning the right to push harder on TCAR adoption. And we're kind of naturally progressing through that, and we'll continue to do through the year. 
Operator: One moment for our next question, please. And it comes from the line of Carolyn Huszagh with Bank of America. 
Carolyn Huszagh: This is Carolyn on from Travis' team. I wanted to ask about the marketing cadence through the year. The Q1 gross margins came in well ahead of expectations, which I think had already included some of those production cost dynamics. And so do the Q1 gross margins, or does that beat change your expectations for the magnitude of step down in gross margin in Q2 that you had talked to previously and/or gross margin expansion for the year? 
 And then just my second question while I'm at it on margins as well, thinking about operating expenses. It looks like Q1 OpEx came in maybe just a tick higher than expectations than you had previously talked about $50 million a quarter in OpEx, give or take, and that being flat through the year. So given that Q1 OpEx came in a tick higher, should we think about any change to your expectations for that $50 million and flat through the year that you had spoken to previously? 
Charles McKhann: Thank you, Carolyn and welcome. So yes, on gross margin, let me just talk about what drove the result in Q1, and then I'll take it out for the rest of the year. So as we talked about on the prior call, there has been a temporary favorable variance in Q4 and Q1. We'll get a little bit more in Q2, but that will pass and will begin to normalize. 
 The other driver on the margin, I would say, was kind of strong execution on all the details, obviously, starting with price discipline, but things like scrap, shipping quality-related costs, et cetera, our team just kind of hit on all cylinders in the quarter. 
 So a great start to the year. We do expect a sequential step down in Q2 and then price being equal, we'll start to benefit from continued volume through our 2 manufacturing facilities in part and kind of normalize thereafter. So a good start to the year, but the same message as prior, step down in Q2 and then a return to normalization. 
 On the OpEx side as well, roughly the same message. We're $50 million, $51 million-and-change as there's normal quarterly variation between quarters. But that's in the ballpark for what we expect going forward with all the different puts and takes. We're really at scale across R&D and SG&A at this point. And so that's our continued expectation. So that will run rate to $200 million, $200 million-and-some-change with some quarterly variation. 
 And just to comment quickly. And as a reminder, just over 20% of our OpEx base is noncash stock comp, which you can see in the press release related to our adjusted EBITDA table, which gives us the continued confidence in our path to profitability. 
Operator: One moment for our last question in the queue. And it comes from the line of Suraj Kalia with Oppenheimer. 
Suraj Kalia: Gentleman, congrats on a great quarter. So Chas, shuffling between multiple calls, bear with me if these questions are redundant. Did you all talk about the same-store new store sales configuration in the quarter? I know it's a variant of the earlier question that was asked about 6 to 12 months in versus TF CAS, but I'm just wondering if you could put a few more quantifiable parameters around the new store same-store
 The other thing, Chas -- and this may be an unfair question, so please forgive me, if given a choice between going after thrombectomy for stroke prophylaxis versus totally endovascular TCAR, where would R&D resources in your view, more wisely be spent? 
Charles McKhann: Yes. Suraj, I appreciate the questions. I think we don't break out same-store sales, except what I would say is -- and we've talked about this on our prior call. I think we are we're undergoing an evolution. It's not a sort of sudden shift. It's an evolution where with 2,800 physicians trained, increasingly more of our growth will come from kind of what you're talking about same-store sales. 
 Now we still have opportunities to add additional physicians and accounts. We have a heavy focus on fellows and the sales team and our education team are doing an excellent job on identifying the fellows, tracking them in sales force, making sure they get educated helping them to make sure that they -- as many of them as possible get certified, while in fellowship. And so that's an example of, again, a new growth area there from a customer standpoint. 
 We also have I mentioned the non-VQI accounts. But all that being said, it's just a natural progression that more will be coming from our existing base of customers, and that's a big part of our focus. 
 Look, on your R&D question, I think the -- what I can say in terms of answering it because we haven't really gotten into our early stage pipeline, except that when we -- on our last call, we did talk about the NITE 1 study, and we were excited about the results there, but we have also primarily are focusing on our leadership in carotid artery disease. And that's -- and we serve as the leader in that category already. I mean, in this market in the space, and we are working on programs to continue and extend that lead. 
 My philosophy on things like that is to once we get more visibility in terms of things like FDA pathways and time lines and we're really to show something, then we'll share it. But we're working through things with our team and some exciting stuff that in the future when we're ready to talk about it, we will. 
Operator: And I do not see any further questions in the queue. I will thank you, everybody, for participating. I will turn it back to Charles McKhann for final comments. 
Charles McKhann: Thank you again for joining us today. Really pleased you joined us and very pleased with the start to the year and look forward to providing additional updates on the year progresses. Take care, everyone. 
Operator: Thank you, everyone, for participating. You may now disconnect.